Operator: Good day and welcome to the Jerónimo Martins First Nine Months Results 2023 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Ana Luisa Virginia, Chief Financial Officer of Jerónimo Martins’s Group. Please go ahead, madam.
Ana Luisa Virginia: Thank you, Nadia. Good morning, ladies and gentleman and thank you for joining this call to present our first nine months 2023 results. As always in our corporate website, you can find the results release, a slide presentation and a fact sheet. Our consistent focus on price competitiveness drove the strong sales performance that limited the effects of high cost inflation on EBITDA margin in a context of declining food inflation. In the nine months period, Group sales increased by 22.1% to reach EUR 22.5 billion. At constant exchange rates, sales increased by 21.2%. Our commitment to price leadership and top line performance drove EBITDA to grow by 11 – sorry 18% and to reach EUR 1.6 billion, while EBITDA margin declined 24 basis points to 7.1%. Cash flow generation was at EUR 159 million. The balance sheet remained very solid and our net cash position, excluding IFRS 16 was at EUR 959 million at the end of September. High food inflation even if on a slowdown trends, and low consumer demand have marked the operating context so far. In fact, although at different paces, food inflation has been gradually falling throughout the year in the three countries where we operate, while consumer confidence has remained frail also with variable levels of pressure in each of the markets. In Poland, the consumers opted the more cautious price-oriented and promotions-driven behavior patterns since the end of 2022, which resulted in negative volumes in the food retail market in 2023. In Portugal, despite lower inflation, household income continue to be pressured by high interest rates. In Colombia, with almost three years of price hikes in foods, there is a clear impoverishment of the population, with families increasingly struggling to buy essential food products. Volumes were down in the markets, and there was extensive trading down. Our results for the first nine months of the year as well as in Q3 were driven by strong sales growth. The gross margin declined of around 65 basis points in both nine months’ and Q3 periods was mainly a result of determined price investments across all banners. The trading down in Colombia and in Portugal was also a driver of this decline. The decision to invest in prices to boost volume growth delivered well, and the strong sales performance led EBITDA to grow 18%, reaching EUR 1.6 billion in the nine months’. Two notes on Q3 P&L. First note relates to the other profits and losses heading that were minus EUR 18 million and include donations, indemnities and write-offs resulting from the remodeling programs. Second note relates to net financial costs that in the quarter included a cost of EUR 40 million, reflecting value adjustments in the capitalization of operating lease liabilities in Poland denominated in euros. Cash flow generated in the period reached EUR 159 million. Let me remind you that the change in working capital reflected the very strong 2022 year-end position in light of the outstanding Christmas season and other effects, including the implementation of a temporary zero VAT measure in Portugal and some changes in payment terms to support suppliers in a high interest rate context. Our balance sheet remained solid and the net cash position by the end of the periods was at EUR 959 million. I will now guide you through our sales performance. All banners delivered well against the markets where they operate, having imprinted a strong commercial dynamic that earn consumers’ preference, reflecting the assertive strategic choices of our companies, Group like-for-like reached 15.8% in the first nine months. Despite declining food inflation in the three countries where we operate, which is reflected in the like-for-like slowdown. It is worth mentioning that food inflation was still a feature of the performance. Since the beginning of the year, Biedronka led in frequency and intensity, the markets’ promotional activity. With this relentless dynamic, Biedronka continue to widen the gap between its basket inflation and the country’s food inflation. As a result, the banner consistently delivered positive volume growth clearly outperforming the market. Sales in the nine months’ grew 21.7% in local currency, including a like-for-like of 17.8%. In Q3, sales increased by 17.4% with the like-for-like of 12.8%. Volume growth in like-for-like terms accelerated in the third quarter. According to GFK on fast-moving consumer goods, market share gain in the first eight months’ of the year was of 1.7 percentage points. The company opened 92 new stores over the period and concluded 270 remodeling being on track to deliver on the plans for the year. Hebe delivered well throughout the nine months’ and sales grew 27.8% in local currency, with a like-for-like of 17.9%. The online operations gave a good contribution to growth, having increased by almost 52% to represent nearly 17% of total sales. In Portugal, the trading down in food processed since 2022 despite the reduction in food inflation, household income remains pressured by higher interest rates. Pingo Doce invested strongly in promotional activity, while advancing in the execution of its remodeling program, enhancing the differentiation built by the branding in fresh products and meal solutions. Over the period, 36 stores were remodeled. Pingo Doce opened eight new stores, having closed one location. Total sales in the nine months’ grew 8.8% with like-for-like standing at 8.4%, excluding fuels. In Q3, total sales were up by 9.3% with like-for-like standing at 8.8%, well above basket inflation in the periods. Recheio’s good performance reflects the dynamic of HoReCa channel as well as the banner’s competitive strength with a value proposition carefully designed for each of its customer segments. Sales grew 18.1%, including a 16.7% like-for-like to surpass for the first time in a nine months period, the EUR 1 billion milestone. In Colombia, the long-lasting pressure of those household income has been leading to negative volumes in the food retail market and massive trading down. Ara has been strongly investing in price, working to consolidate its price positioning by offering value opportunities to the Colombian families in a moment when many have serious difficulties in assessing essential food products. In the nine months’ Ara grew sales in local currency by 48.7% with like-for-like standing at 14.8%. In euros, sales increased by 35.5% to reach EUR 1.8 billion. In Q3, sales in local currency grew 42.4% with a 9.3% like-for-like. The execution of the investment program is progressing according to plan and Ara opened 151 stores over the period. At the consolidated level, the strong EBITDA increase reflects the good top line performance following the determination of our banners to keep prices low without neglecting the quality of both offer and shopping experience. Although aware that it would pressure gross margins, all banners maintain price competitiveness as a strategic priority to drive sales. Consumers’ response to these enhanced price positions drove sales growth, limiting the impact on EBITDA margin of the high cost inflation registered in the three countries. Group EBITDA margin fell to 7.1% from 7.3% in the nine months’ of 2022. Biedronka EBITDA margin was down in the nine months’ period from 8.8% to 8.6%. The slowdown in like-for-like, following lower food inflation raised challenges to cost dilution, particularly of labor which have registered high inflation since the beginning of the year. In Portugal, EBITDA margin was broadly stable. At Pingo Doce, the strong sales delivery is diluting the impact of higher cost. At Recheio, the margin improved as the banner fully recovered from the pressures driven by the pandemic crisis. At Hebe, margin increased from 8% to 8.2%, following the goods sales delivery, and despite the investment to grow its international e-commerce operations. Ara’s EBITDA margin was down from 3.3% to 1.8%, reflecting price investments, strong trading down effect, and the large number of recently opened stores still with low sales maturity. Summing up. All companies share the same clear priorities, growing sales in difficult contexts, while protecting profitability. Price competitiveness and the strengthening of our presence in the markets by expanding the operations and remodeling the stores have been instrumental to the delivery. Sales grew strongly and so did EBITDA, despite the expected pressure on margins. With the ongoing war in Ukraine, and the rising of the military tension in the Middle East, the extent of the impact on an already fragile consumer confidence is highly unpredictable. And we are conscious that our businesses will continue to be under pressure by the simultaneous reduction in food inflation and high inflation in costs. This says, the nine months’ performance shows that the competitiveness of our banners is in shape, and that we continue to outperform our markets. We therefore believe that we are well prepared to continue to navigate an uncertain and challenging contexts, while executing our investment program that is a strategic importance to our market position. We reiterate all the perspectives previously disclosed for each of our businesses, and our intention to maintain investment as a priority, estimating it to be around EUR 1 billion in the full year. Our confidence is reinforced by the strength of the balance sheet that gives us the flexibility to take the necessary action to support our priorities. Thank you for your attention. Operator, I am now ready to take questions.
Operator: Thank you. [Operator Instructions] Now we’re going to take our first question. And it comes from João Pinto from JB Capital. Your line is open. Please ask your question.
João Pinto: Hi. Good morning, everyone. Thanks for taking my questions. Three if I may. The first one on Poland. According to the Polish Food Retail Sales Index, it seems that volumes in the market were stronger in September versus previous month. Can you please give us some color on how volumes have evolved for Biedronka throughout the quarter? And if September was also stronger for Biedronka and if you’re seeing a stronger consumer in Poland compared to the first half of the year? That would be my first question. My second question food CPI has been decelerating very fast in Poland. However gross margin in the first quarter has dropped as much as in the first half. Is this a result of increasing competition in Poland? Or should we think about gross margin evolution in the coming quarters? And lastly, on CapEx, there is more than EUR 50 million of CapEx reported in the line of others this quarter. Can you please give us some color on this? Many thanks.
Ana Luisa Virginia: Hi, João. Good morning. So on Poland’s and on food retail. So it’s true that there was a slight improvement, but overall the volumes in the market continue to be negative. In the case of Biedronka as I mentioned, we accelerated volume growth because, that of course, the company continues to really invest and to be very, very dynamic in what refers to promotions, particularly on promotional activity that has increased versus last year. In terms of the volume evolution and particularly when we also mix that with and when we look at the gap towards the inflation, food inflation in the country, what we see is basically the same kind of progression throughout the quarter. And so, what we see in in terms of the gap is around now 5 percentage points. And I think that this is a sign of how competitive Biedronka have been and this relentless dynamic that we mentioned that it has been imprinted to really make sure that it continues to be the market in price which is currently the variable that is the most important for the Polish consumer. I think that as you mentioned, and I also mentioned that in our previous calls, it’s true that the Polish consumer, at this point didn’t lose purchasing power, according to us, because as you looked at interest rates are even going down in Poland, in a move prior by the Central Bank prior to the election, and wages are increasing quite significantly. But we also see a cautious consumer, as we mentioned, a consumer that thinks that prices are very high, and so tends not to buy so much in terms of volumes. But the fact that Biedronka has been able to capture this. As we mentioned, also we think that if consumers do not lose purchasing power, there is also a certain tendency not to trade down. And there is this opportunity also to trade up in the future. But it’s something that we will have to see. It’s true that food prices are going down, and particularly on commodities, this is something that we are already seeing. We mentioned that there is a sharp reduction in food inflation. But it’s also true that the market is very competitive. So we have to balance not only, let’s say, the lower prices coming from the cost of goods sold, but also the level of investment that we have to continue to maintain, to keep our competitive position versus the rest of the markets, because we want to maintain the gaps with Biedronka as we usually say, not giving room for the consumer to choose buying elsewhere. On the CapEx, almost EUR 60 million, the big tranche of this CapEx is an increase in investments that we made in a salmon company in Norway. So we are now holding an important stake in this salmon company as we highlighted last year. So we continue to believe this is a project that is worth investing. So it’s basically on financial investments. But we also have projects not only in our agribusiness, but particularly also at the holding level or transversal to the Group, including further investments on IT and other projects that we have for the Group.
João Pinto: Yeah. Thanks very much. Just a clarification. The 5 percentage CapEx you mentioned in the first question is the gap between basket inflation and food inflation or the gap between like-for-like and food inflation in the country?
Ana Luisa Virginia: No, no, it’s the gap between the basket inflation and the food inflation in the country.
João Pinto: Okay. Understood, thank you.
Ana Luisa Virginia: Thank you.
Operator: Thank you. Now we’re going to take our next question. Just give us a moment. And the next question comes from the line of Andrew Gwynn from BNP Paribas Exane. Your line is open. Please ask your question.
Andrew Gwynn: Hi. Good morning, Ana. Two questions if I can. So firstly, there’s a very subtle change on the guidance I think you were speaking about, you will see margin erosion. And now it’s may see margin erosion. So just help us understand that change? I’m sure it was very deliberate. The second question coming back to Poland, I mean, I think there’s been a little bit more price competition in the early part of Q3 from Lidl. What’s the sense of competition at present in Poland? Thank you very much.
Ana Luisa Virginia: Thank you, Andrew. So, I think that we mentioned several times throughout the release and even our Chairman said that, that we are a little bit with two apparently opposite trends. But in fact that have or that may put extra pressure on the margin. One, of course, is the sharp reduction in food inflation that, of course, no longer drive sales. So sales are basically volume-driven, or will be or will have to be volume-driven. And at the same time, we continue to see and we expect, particularly for 2024 an extra increase on most of our posts having. Of course, at this point, Andrew we don’t, of course, that in the three months’ that are left. And this is our outlook. That’s what we have seen in the last nine months’ is that our teams have been able to cope with this reduction. Of course, the pressure will depend not only on the work that we have to do, but also on the competitive environments. And as you mentioned, that we saw some increase in terms of the competitive environment in Poland, and particularly from Lidl. But this was also something that we have been flagging, because, of course with Biedronka gaining so much market share, what we would expect was, of course, that all the other peers would somehow have to react or have to fight for their own sales. Because it’s the only way as we usually mentioned, to protect profitability. This being said, what we think, of course, is that the fourth quarter will be, of course, challenging. But we also know that despite having had a very good fourth quarter in 2022, still some constraints coming from some issues with the supply chain that we believe will not happen in this fourth quarter. But as I mentioned, this is the only difference that justifies the outlook, what we see. And we are very cautious in the way that we look ahead. And we know that the companies cannot change their pattern in terms of different determination to really maintain competitiveness to drive sales through volumes, and try really to compensate. Not only, of course, on the – with sales, the increase in our cost setting.
Andrew Gwynn: That’s very clear. But is there still just as much competition now as it was at the beginning of Q3?
Ana Luisa Virginia: I think so. I think so and I think that’s Biedronka is also being part of that is – because we really continue to be quite aggressive in the campaigns and in the way that we are designing and preparing our fourth quarter.
Andrew Gwynn: Okay, that’s clear. And just on the margins, sorry, you may see erosion in 2040. It sounds like you’re suggesting that we will see erosion in ‘24. Is that a fair summary?
Ana Luisa Virginia: I think that we cannot exclude that.
Andrew Gwynn: Okay.
Ana Luisa Virginia: Andrew, it’s going to be challenging. And we know that our banners will try to cope with that. But, of course, we cannot exclude it. As we said, the instruction for the companies are quite clear. It’s really to protect sales as a way to drive profitability, and particularly driving return on invested capital. So, even if margins erodes, while our EBITDA increases in absolute terms, and it’s for us the most fundamental. So cash and returns.
Andrew Gwynn: Very clear. Thank you very much.
Operator: Thank you. Now we’re going to proceed to our next question. And the next question comes from the line of Frederick Wild from Jefferies. Your line is open. Please ask your question.
Frederick Wild: Hi, yes. Good morning, Ana Luisa. Thanks for taking my question. First, could I ask about the working capital outlook in Q4, you had this big inflection in Q3. And so just any help on understanding the dynamics into Q4 and actually into next year as well, would be really helpful. Secondly, on the Ara margin, it was a lot more pressure than I was expecting in Q3. And it seems that those are sort of expecting the gross margin impact from the promotion in Q2 to fade. But can you just give us a bit more insight into what’s happening there? Thank you.
Ana Luisa Virginia: Hi, Frederick. So on the working capital. It’s true that there was an improvement in Q3, which follows really the seasonality of the business, of course, but also has to do with and in terms of the cash generated has to do, because you are comparing also a position with a final position in Q2, that, for instance, already has most of the impacts of the zero VAT, for instance. So it’s a more normalized basis. And so in this case, what we saw was really an improvement on Q3, but that is totally normal for us. In what regards Q4, it is really going to depend, of course, on how the Christmas season goes, again, because, of course, as you know, the fourth quarter usually, there is also an important improvement, considering that we end the year with the suppliers purchasing in the current account for the sales that we do in the Christmas season. So in principle, if everything goes according to plan, we don’t see a reason why this will not follow the usual seasonality of the business. Also, in principle, the year ends, it has an importance in the ForEx rates at the 31st December, but at this point, what we really see in the working capital, and particularly comparing with last year, is what we mentioned. There are several factors contributing to that. And we mentioned in the beginning of the year, that’s, of course, going a little bit beyond regulation, and some of the regulation that was imposed in Europe, we would use our cash position also, knowing that in some cases, in particular, the suppliers on the fresh and on private label, we would be willing to somehow support some of the suppliers that would probably demand a decrease in payment terms not to face the same kind of hike in interest rates to be financed. So we are using that also and that is partly what justifies also the comparison versus last year. On the Ara margin, so it’s true that we have decreased the margin and that, we don’t hide, makes it very difficult to reach breakeven before IFRS 16 for the year-end. Although we know that the company is doing its best not only at the margin, but at all cost headings also so not only at the cost of goods sold to really cope with the breakeven at the EBITDA level, but the market will also have to react. So, we know that currently we will depend a little bit on how things progress at the top line level to really be able to improve the margins for the year-end.
Frederick Wild: Thank you. And if I could just ask one follow-up. On the Polish Q4 supply chain impacts last year, could you quantify what impact those had on margin? That would be super helpful. Thank you.
Ana Luisa Virginia: Frederick, of course it’s very difficult because, of course, there are lot of moving parts and a lot of different things contributing. But the fact is that, if you look at last year, the fact is that Biedronka was not able due to these constraints to be so bold on part of the promotional campaign that have increased quite significantly. I believe it’s more than 10 percentage points in terms of the percentage of sales in terms of the promotional activity, and not only on the fourth quarter, I would say throughout the year. So it’s difficult to quantify, but it had an impact.
Frederick Wild: Fabulous. Thank you. 
Operator: Thank you. Now we’re going to take our next question. Just give us a moment. And the next question comes from the line of Henrik Herbst from Morgan Stanley. Your line is open. Please ask your question.
Henrik Herbst: Yeah. Thanks very much. I have two questions, please. I mean you talked a little bit about the increased competition. Can you talk a little bit about price elasticity, what you’re seeing in the market? It seems like the market got a little bit better in terms of volumes towards the end of the quarter. Are you seeing any change in price elasticity? Or promotions you’re running, are they getting the same type of traction? And then secondly, I wanted to ask it seems like the contribution from new stores and refurbishments have been a bit stronger in the quarter. Is there anything you can sort of talk about that would explain that? And could you maybe talk a little bit more about what you’re seeing in terms of results from your refurbishments? That would be great. Thanks very much.
Ana Luisa Virginia: Thank you, Henrik. So price elasticity, what we think really is that, of course, the consumer reacts quite strongly to promotions. And as I mentioned, the truth is that the Polish consumers did not lose purchasing power according or the household didn’t lose purchasing power according to our estimates considering even the fiscal stimulus that were introduced in the market continue to be introduced not only by the current government, but even being estimated to continue by probably the new government in Poland. So we think that there is a way to somehow by having this, let’s say, consumer that has more available income to really have a positive or a tailwind that may compensate the fact that we are seeing a sharp decrease in food inflation and even some deflation, for instance, in commodities. So in some products we are already seeing even deflation. As for the contribution of expansion, it’s true that usually we tend to concentrate a lot of our new stores and remodeled stores in the fourth quarter. It’s something that we have mentioning that we should avoid because, of course, it tends to imbalance a little bit the contribution of the extra capacity. I think that what Biedronka did was basically trying to refurbish and expand the most as possible in this quarter to avoid opening new stores at year-end. But I don’t see, I think that in terms of expansion in terms of remodeling, the extra sales will be as we have been mentioning around 3 percentage points. And the remodelings are quite important that we don’t get tired of mentioning that. It is very important for us to refurbish the stores, because not only usually this implies an increasing sales of double-digit and not only in Poland, but even in Portugal, and I think that to the good performance of Pingo Doce, the refurbishments are also contributing and so it’s important to keep the refurbishment and that’s why the company is even accelerating slightly that in this quarter.
Henrik Herbst: Great. Thanks very much.
Ana Luisa Virginia: Thank you, Henrik.
Operator: Thank you. Now we’re going to proceed to our next question. And the next question comes from the line of José Rito from CaixaBank BPI. Your line is open. Please ask your question.
José Rito: Yes. Good morning, to all. So, first question on Poland. Within the context of the market share gains, which players, which companies are losing the most? And apart from Lidl in terms of being the most aggressive, other players that you can highlight as being aggressive in the market as well? So this will be my first question. Second on the bonus payment in Poland. Last year, I think it was around EUR 20 million in Q3 and further EUR 30 million in Q4. I haven’t seen anything for this year. Any change on the remuneration policy or this is something that we could still expect for this year? And finally, a question on potential expansion to Slovakia. If you have any idea of the budgets both in terms of CapEx and initial cost and given this is an extension of the operation in Poland, this will be allocated to this country? Thank you.
Ana Luisa Virginia: Hi, José. So according to us, the ones that are losing market share are, of course, basically the supermarkets and hypermarkets. But also Lidl was losing traction, I think that we mentioned that, according to the numbers that we received. So there are several players that lost market share. What we think is that, Lidl was the one that had more reason to try to change this situation and so currently what we see is that, Lidl is the most aggressive. This being said, when we look at all the other players, we think that they are also doing their work, probably not so aggressive in terms of the way that we see it. But the fact is that, you see all the other competitors not only expanding and particularly the ones more on proximity, but also trying to bring an extra value for the consumers. And that’s why Biedronka doesn’t stop their promotional activity, as we said, not to give room for the others. But Lidl I would say, has been the most aggressive particularly this last quarter. On the bonus, it’s true that we have in place an extraordinary bonus this quarter and so you don’t see any contribution from extraordinary bonus on the non-recurrent items. This was something that happened September last year, and this was an exceptional bonus that was paid because of all the extra or additional effort that was done by the team following the war that started in Ukraine and the flow of refugees from Ukraine. So this year, we didn’t pay this exceptional bonus. It’s not in our remuneration policy. It’s something that we activate exceptionally when there are circumstances that justify it, which doesn’t mean that we are not properly remunerating our teams. For instance, in July, we paid extra performance bonuses, but this was reflected in the operation of this was a decision of the company not a decision of the Board or the Executive Committee and it’s reflected in the operational cost of the company. So there is no change in our remuneration policy. We also want to be competitive on that front, because we know that there is also a quite tight labor market particularly in Poland with the increases in salaries, but even lack of labor offering in some cases. So we haven’t changed the remuneration policy. If we will activate or not this exceptional bonus until the end, of course, I cannot exclude it and usually is what I mentioned. In the last years, we have paid bonuses during the Christmas time. It really will depend, but I cannot exclude that. As for the potential expansion for Slovakia, although it’s an expansion from Biedronka and trying to have exactly the same business model, it will be reported separately, of course. It’s in a different country so it’s not going to be reported with Biedronka at this point. And as we are talking about an operation from scratch, we are not disclosing much what we think the first stores are set to be opened at year-end of 2024. So I think it’s a little bit premature to guide for any extra CapEx or extra sales that can come from it. It’s going to be quite marginal still, José.
José Rito: Okay, understood. Thank you. Just to clarify on the bonus last year in December, this was booked also as operational performance so at the EBITDA level, right? So in September, it was –
Ana Luisa Virginia: No. December was the non-recurrence, José.
José Rito: September, but in December?
Ana Luisa Virginia: In December, December was also booked in non-recurrence.
José Rito: Okay, okay. Understood, Ana.
Ana Luisa Virginia: Okay?
José Rito: Okay, thank you.
Ana Luisa Virginia: Thank you.
Operator: Thank you. Now we’re going to take our next question. And the next question comes from the line of Nicolas Champ from Barclays. Your line is open. Please ask your question.
Nicolas Champ: Good morning. Thanks for taking my questions. I have three questions. The first one is that, do you have a view already on your cost evolution in Poland for next year? I guess you maybe started discussion with unions and with landlords. So any view on OpEx potential evolution, range, growth in 2024 will be helpful? The second question is about food inflation in Poland. I mean, given this very rapid deceleration and you even mentioned deflation I think for some commodities or for categories. Is it possible to see food prices in Poland turning into negative territory at some point next year according to you and based again on maybe your ongoing discussion with suppliers? And the third and last question, could you comment on your private label penetration in Poland? How has it evolved in Q3 since the start to the year for instance? Thank you.
Ana Luisa Virginia: Thank you, Nicolas. So on the cost evolution, of course, we usually don’t guide and don’t give a lot of details on how it’s going to progress. So we know that on labor, the reference will increase again around 20% because of the minimum wage and we know that, of course, the rents are to follow although not having an impact on the IFRS 16 financial statements. It’s true that rents will also go up usually having as a reference the general inflation. And so these are the two things that we know. Currently I think that there is a lot of unpredictability even on the energy side and particularly now with the conflict in the Middle East, we don’t know how things are going to progress. We know that this has been a heading that helped also with dilution, because it didn’t increase as much as it did in 2022. So it really helps also to contain somehow the EBITDA margin pressure. So this is a question mark. And the other thing that, of course, you’ll have to count on is the cost of goods sold, and there it really will depend on how suppliers will want to further invest or not also and protect their own volumes. So we are seeing as you mentioned and this is connected. So on cost evolution, at this point what we know, of course, is that, we are going to be under pressure from that side that we are looking, of course, on every opportunity knowing that prices will go up to have the savings on the energy that we consume, on the number or on the negotiations that we may have with the different, of course, landlords. This is something that is an ongoing task in fact for all our companies to try to have right size and the cost under control, because we know that this operational leverage is quite tricky if sales do not appear. On the food inflation in Poland. I think that currently it’s a little bit unclear. We know that there is a sharp deceleration. As I mentioned, there is already deflation in some products. But we also know that the cost inflation will not just affect Biedronka or our retail banners. It will affect also our suppliers and most of our suppliers in Biedronka are in Poland. So they will have also to face the increase in salaries and increase in rent in some cases. So let’s see what will happen or not even with commodities depending on how things progress from a geopolitical and economic terms around the world. So there is a lot of uncertainty and at this point, I cannot exclude, of course, that this will not depend just on the cost of goods sold or on the investments by our suppliers. This will be a positive, but will also depend on the competitive environment. And so, if there is a lot of competition, as we mentioned, we will want to keep our competitiveness and in some cases we may see particularly in some cases some price deflation. This will be a negative if the consumer on the other hand has more available income with lower interest rates and with higher salaries, there may be also the possibility of some trade up. And so we will try, of course, to manage as much as possible in the right way and try to balance to try to limit the effects of a deflationary context in our P&L. On the private label penetration, hasn’t changed much, it continues to be around 40% in Biedronka, Nicolas.
Nicolas Champ: Okay. Thank you very much. Just a follow-up about your labor [technical difficulty]. I mean in your answer, could you repeat the figure you mentioned for 2024 I mean just to be sure that we are not talking about this year, but for next year?
Ana Luisa Virginia: So the number that I mentioned, yes, is what was announced by the government and also confirmed by the opposition. So that probably will be the new government. They confirm that the minimum wage will increase around 20%, yes.
Nicolas Champ: Okay. Very clear.
Ana Luisa Virginia: For 2024. Thank you, Nicolas.
Operator: Thank you. Now we’re going to take our next question. Just give us a moment. And the next question comes from the line of António Seladas from A/S Independent Research. Your line is open. Please ask your question.
António Seladas: Good morning. Just two questions. First one is the price gap in Poland. I think that you already answered it, but I missed. So the difference between your basket inflation and the official inflation? And the second question is related to your gross margin that has come down. Has any level or any floor that you would like to overcome? Thank you very much.
Ana Luisa Virginia: Thank you, António. So on the price gap between our basket inflation and the country food inflation, as I mentioned in the third quarter was 5 percentage points and it was quite stable throughout the quarter. As for our gross margins, it’s true that we don’t set any cap or any floor for the gross margin. Of course, our aim is always to improve gross margin to be able to cope with our cost structure. But this being said, we want to be quite competitive and if we have to invest in prices, we’ll continue to. But we don’t have properly a cap, but we know that in order to deliver the proper margins to have the returns, of course, this cannot be lower than a certain percentage. This in terms of floor. In terms of cap, it’s something that we don’t set it at this level. We set it at our competitiveness versus our peers.
António Seladas: Okay. Thank you very much.
Ana Luisa Virginia: Thank you, António.
António Seladas: I think that you – 
Operator: Thank you –
António Seladas: Sorry.
Operator: Please proceed.
António Seladas: Sorry. I think that you can assume that price gap in Poland about 5% will continue over the fourth quarter taking consideration that you mentioned the competitiveness on the market.
Ana Luisa Virginia: Antonio, I think that this is very difficult –
António Seladas: Okay. Thank you very much.
Ana Luisa Virginia: To say.
António Seladas: Okay. I understand. Thanks for taking [technical difficulty]
Operator: Thank you. And now we’re going to take our next question. And the next question comes from the line of Nick Coulter from Citi. Your line is open. Please ask your question.
Nick Coulter: Hi. Good morning. Thanks for taking my questions. Three very quick ones, if I may. Firstly on your M&A criteria given that property in Romania is reportedly or potentially in a sale process, would be great to hear your thoughts about how you think about potential M&A opportunities? Secondly, following-up on Nicolas’ question, could I ask about the level of support from branded manufacturers for promotions and whether you’re beginning to see that step-up? Certainly a trend we’ve seen in other markets so just to kind of tag on to your comments around suppliers wanting to defend their volumes. And then lastly with apologies, I missed your comments on the supply chain disruption last year in the fourth quarter. If you wouldn’t mind briefly recapping if that has an impact on your availability or your ability to drive mix last year. Many thanks.
Ana Luisa Virginia: Thank you, Nick. So on M&A criteria, of course, as you know, we are very conservative. M&A is not usually used from a strategic point of view. Usually when we buy something is to stay, not really then to sell it after some years and we are very cautious even in the way, of course, that we manage cash as you know. So any M&A step will have to really be value accretive and that’s, of course, puts us somehow and sometimes also not in a very good position when we decide to go for any run. As we mentioned in the past, Romania is a potential market to expand. At this point, I would say it’s not a priority and it would only be if we’ve decided that we would have the right target at the right price and that would be basically it, because, of course, we think that currently we want to concentrate on Poland on Ara that is facing some tough time. So it’s not really a priority. If the opportunity comes along, of course, we don’t hide that we will look at those, but we will be very conservative in the approach as usually at least under the current management of the company. As for the –
Nick Coulter: Thank you.
Ana Luisa Virginia: As for the level of support of the suppliers. I think that, of course this will depend on their own strategy. But the way that we see it is that, they have been also hampered in their volumes. In some cases and in some markets, they lost quite significantly market share to the private label or to the A brand products because usually are cheaper. I think that if they really want to also protect their margin at a certain point, I believe that they will have to invest and investing to raise their volumes. So, in this case I think that we have here, but it will depend really on the strategy of our A brand suppliers.
Nick Coulter: Okay. Just on your comment on the private label penetration. Is there kind of – obviously that means that branded penetration has stayed the same as well. Is there a mix going on within that branded penetration or have you been volume positive in brands and have they been actively supporting you through this period?
Ana Luisa Virginia: I think that’s both, because, of course, private label at least for the one that consider that prices are very high may be buying more private label. But as I also mentioned in previous calls, we are growing significantly because we have more clients in the stores. So I think that we are – in this case, Biedronka is getting other clients that usually didn’t go to Biedronka and they started to go to Biedronka and they start also, because these are usually the higher income consumers that start to buy also other kinds of products. So what you see is a mix of people that usually go to Biedronka probably buying more private label that would compensate, but others or the ones in promotion the A brand and other clients that usually buy or continue to buy private brands – sorry A brands that previously didn’t buy from Biedronka. On the supply chain for the fourth quarter. So we think that for 2022 there were, as you recall, some disruptions and that’s why we even had to decrease the level of promotional activity. Hence, what we think is that, in 2023, we will be in a normalized situation from that point of view. If nothing else happens, let’s say, in a global socioeconomic perspective, we will keep in that situation; in principle, we will be able to be a little bit more promotion-driven also in the fourth quarter.
Nick Coulter: Thanks very much.
Ana Luisa Virginia: Thank you.
Operator: Thank you. And now we’re going to take our last question for today. Just give us a moment. And the question comes from the line of Michal Potyra from UBS. Your line is open. Please ask your question.
Michal Potyra: Good morning, everyone. Thank you for taking my questions. I have two questions on Poland, please. The first one is on the Sunday shopping ban. There are political discussions that it could be removed. So could you please comment on the potential impact on your top line and maybe on OpEx as well in case those restrictions are removed? And the second question kind of similar in nature is about the lower VAT on food in Poland. If you also could comment what could be the impact if the higher VAT is reinstated from next year? Thank you.
Ana Luisa Virginia: Thank you, Michal. On the Sunday ban, so we do not know at this point is, as you know, it really will depend. Since the beginning, we always preferred that there would be the freedom to open stores in the whole week. So we would prefer to have no Sunday ban. We didn’t hide that. And so for us, it’s even easier to somehow manage the stocks, the leftovers, the fresh. So it’s better to have the stores open. So we may have, let’s say, slightly more cost in labor, but it’s very slight and we’ll be compensating all over. So we think that it’s positive to have the stores operating also for us on Sunday. But the scenario that we are working with for our plan for 2024 is that, the ban will continue. So we don’t have any signs of this changing so we’ll have to be prepared to operate and to have our operations working, assuming that the ban will continue. And for the lower VAT in Poland. So if there is a change, of course, we think that this may put some or add a little bit of inflation to the food inflation, but this will not translate in our internal inflation. That, of course, we don’t measure it with VAT, we have to consider that. So, I think that probably if it will depend on – as we said, the prices at the end will not really depend just on the VAT, it will depend on the competitiveness of the market and on the way that even the suppliers will price their prices on the cost of goods sold. And so this is very difficult to mention and to say what will be the impact. What we think is that, overall part of the impact will probably be passed to the consumer, part may be absorbed if the market continues to be quite competitive and if there is really a lot of room to absorb it.
Michal Potyra: Thank you very much.
Ana Luisa Virginia: Thank you, Michal.
Operator: Thank you. And now we’re going to take our next question. Just give us a moment. And the next question comes from the line of Emmanuelle Vigneron from HSBC. Your line is open. Please ask your question.
Emmanuelle Vigneron: Yes, hi. I have just two quick questions. You said that promotions have increased during the third quarter. So, to which level exactly as compared with last year? And regarding market share, how many market share did you gain in Q3 in Poland and did you gain market share in Portugal as well? Thanks.
Ana Luisa Virginia: Thank you, Emmanuelle. So, on the level of promotions for Biedronka, we are currently on 40%. But these kind of promotions was not just on Q3. So, in fact, throughout the year, we are intensified and we really put together and designed a lot of promotions in Biedronka. I think that the level may have increased with some more competitiveness in the market. And for the market share gains, looking at the numbers, I don’t have by heart the Q3 specific number. But from what I see, it’s basically in line so we gained the same as we have been gaining in the first half of the year, so the 1.7 percentage points.
Emmanuelle Vigneron: Okay. Thank you.
Ana Luisa Virginia: Thank you.
Operator: Thank you. Dear speakers, there are no further questions. And I would like now to hand the conference over to Ana Luisa Virginia for any closing remarks.
Ana Luisa Virginia: Thank you all for your questions and for attending this conference call. We are now in the fourth quarter of the year and our focus is on delivering our targets for the crucial Christmas season and on maintaining sales momentum towards the beginning of 2024. Competitiveness remains therefore at the center of our priorities as we work to protect profitability and returns. Thank you once again and I wish you all a nice day.
Operator: That does conclude our conference for today. Thank you for participating. You may now all disconnect. Have a nice day.